Operator: Ladies and gentlemen, thank you for standing by. And welcome to Ryerson Holding’s Fourth Quarter and Full Year 2019 Earnings Webcast and Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to turn the call over to your first speaker today, Justine Carlson, with Ryerson’s Investor Relations Department. Thank you. Please go ahead.
Justine Carlson: Good morning. Thank you for joining Ryerson Holding Corporation’s fourth quarter and full year 2019 earnings call. I am here this morning with Eddie Lehner, Ryerson’s President and Chief Executive Officer; and our Corporate Controller and Chief Accounting Officer, Molly Kannan. Kevin Richardson; Mike Burbach; and Jim Claussen, our North American Regional Presidents will be joining us for Q&A. Before we get started, let me remind you that certain comments we make on this call contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from those implied by the forward-looking statements. Such risks and uncertainties include, but are not limited to, those set forth under Risk Factors in our annual report on Form 10-K for the year ended December 31, 2019. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date they are made and are not guarantees of future performance. In addition, our remarks today refer to several non-GAAP financial measures that are intended to supplement, but not substitute, for the most directly comparable GAAP measures. A reconciliation of the non-GAAP financial measures discussed on today’s call to the most directly comparable GAAP measures is provided on our fourth quarter 2019 earnings release filed on Form 8-K yesterday, which is available on the Investor Relations section of our website. I will turn the call over to Eddie.
Eddie Lehner: Thank you, Justine, and thank you all for joining us this morning. First, I want to thank our valued customers whose business we never take for granted. I also want to thank my Ryerson colleagues for skillfully navigating the challenging industrial environment experienced throughout 2019, but saw industrial commodity price indexes deflate across the Board, most acutely in carbon steels. Along with industry shipments that contracted by over 7% year-over-year. Ryerson fared better than the overall industry in 2019 with same-store North American shipments down by 1.3%. Beginning with the third quarter of 2018, we are now six quarters through the most recent industrial metals counter cycle characterized by falling industrial metal prices, contracting industrial metals demand and compress margins. The average duration of these counter cycles over the past decade has been approximately seven quarters. Consequently we expect increasing probabilities of improving macro conditions as we move through 2020 depending on the impacts from exogamous events such as the Coronavirus whose impact to the economy is yet to be determined. Commodity and demand environment subside, 2019 was a self-help year for Ryerson as our continued focus on strengthening our balance sheet led to the realization of several milestones, including substantial debt reduction, which was driven by strong operating cash flow, increased book value of equity, two favorable credit rating events and the closing of the sale leaseback transaction, which established the fair market value representative sample of our real estate portfolio. All of this was achieved, despite the obscuring effects of acute margin compression across the carbon steel portfolio. Because Ryerson continued its structural progression toward long-term financial targets by gaining market share, generating same-store expense leverage and continuing to meet Central Steel & Wire company’s turnaround objectives, it is instructive to look underneath and beyond macro cyclical drivers to gauge Ryerson’s real progress. Reductions in leverage and legacy liabilities coupled with significant increases in year-over-year earnings per share excluding one-time items and notable increases net book value of equity show the intrinsic improvements in Ryerson’s underlying business model and execution. Ryerson’s ongoing investments in CapEx, digitalization and training centered on creating the industry leading customer experience are creating a stronger, more cycle resilient Ryerson across a network of intelligently networked service centers and providing customer solutions at speed and scale. Saying it plainly, Ryerson quarter-by-quarter and year-by-year keeps getting better. Turning to the current economic environment, the inflection of CRU carbon hot-rolled prices occurred during the fourth quarter after bottoming at $444 per ton. Several mill price increases have since been accepted by the market resulting in CRU hot-rolled sheet bellwether prices range between $560 per ton to $600 per net ton. LME aluminum prices have remained recessed at two-and-a-half-year lows primarily due to oversupply and channel gluts, while stainless steel prices have retraced from their 2019 highs in October to their two-year average, albeit with V-shaped volatility patterns through 2019 and into the first quarter of 2020. From a demand perspective, the industrial environment was beyond seasonally subdued as industrial contraction that took hold in the third quarter of 2019 picked up pace in the fourth quarter as evidenced by sub-50 ISM guess manufacturing PMI readings and year-over-year contract in U.S. industrial production. North American service center ton shipped is measured by the metal service center institute contracted by 8.1% in the fourth quarter of 2019 compared to the fourth quarter of 2018, contributing to a total annual contraction of 7.2%. At the same time, Ryerson’s North American same-store ton shipped excluding Central Steel & Wire were down only 1.3% in 2019, exhibiting better than industry performance and market share gains amidst the aforementioned industry challenges. Progressing through the first quarter of 2020, the demand environment is a mixed bag, as January shipments were sluggish and February North American shipment activity was incrementally better, unknown Coronavirus impacts aside both transactional quoting and OEM program business appear to be improving after a slow start to the year. With respect to the unfolding Coronavirus impacts we are pleased to report that as of today none of our Ryerson China colleagues or their immediate family members have contracted the virus. As for impact, we estimate that first quarter China revenues will decrease by approximately $15 million compared to the first quarter of 2019, shipments will decline by approximately 20,000 tons compared to the first quarter of 2019 and Ryerson China adjusted even excluding LIFO will decrease by approximately $2 million compared to the first quarter of 2019. As it pertains to Ryerson’s North American business, it is too early to formulate Coronavirus estimated financial impact. However, we anticipate the virus will be a drag on business sentiment and activity. We continue to monitor the Coronavirus threat and events as they unfold to make the necessary preparations should the virus effects worsen in the coming weeks and months. Turning more specifically to Ryerson’s end markets in the fourth quarter, food and agricultural equipment, HVAC and metal fabrication were the strongest performing sectors with volume growth in the fourth quarter of 2019 compared to the same quarter last year on a same store basis. Ryerson experienced lower shipments in industrial machinery and equipment, oil and gas and construction and markets with volume contraction in the fourth quarter of 2019 compared to the same quarter last year on a same-store basis. Collectively, contraction in weak sectors outpaced growth in strong sectors by 13,000 tons on a same-store year-over-year basis. Concluding a year and a half within the Ryerson family of companies Central Steel & Wire continue to track above post acquisition targets by achieving $25 million in annualized expense takeouts realizing $12 million in cumulative proceeds from real estate sales for operations ever consolidated into existing facilities and exceeding customer retention expectations. CS&W was acquired with significant working capital of nearly 140 days of inventory supply and management continues to target levels more in line with Ryerson’s same-store service center metrics. However, days of supply increase from 92 days at the end of the third quarter of 2019 to 103 days at the end of the fourth quarter of 2019, due in part to shipment declines reflective of the industry demand contraction, as well as opportunistic restocking. Adjusted EBITDA excluding LIFO improved quarter-over-quarter from a loss of $4.5 million in the third quarter to a loss of $0.3 million in the fourth quarter, aided by gross margin expansion and execution of structural expense takeouts that are consistent with management’s turnaround strategy. As the early innings of the CS&W’s turnaround progress, with synergies coming together structural expense reductions taking hold and next phase operational improvements on deck, management maintains its long-term mid-cycle target of $600 million in revenue and $50 million in adjusted EBITDA excluding LIFO on an annual basis. For the first quarter of 2020, Ryerson anticipates revenues of $1.03 billion to $1.07 billion with tons shipped up to 4% to 7%compared to the fourth quarter of 2019, driven by the normal seasonality patterns experienced in prior years, but mildly tempered by the subdued demand that is carried over from 2019. In addition the Coronavirus outbreak has caused several temporary operational interruptions within our China service centers resulting in decreased shipping days and reducing our revenue outlook for the first quarter by approximately $15 million year-over-year. Excluding Coronavirus impacts to Ryerson China shipment levels we expect sequential North American shipments to increase between 7% to 9% or in line with typical industry seasonality. Current carbon and stainless prices are expected to remain supported within the range as noted and aluminum prices are expected to be neutral to modestly lower. Collectively, Ryerson expects average selling prices in the first quarter to be flat to up 2%, primarily due to mix and recovering carbon prices. LIFO income in the first quarter is expected to be in the range of $21 million to $25 million driven by lagging declines in carbon, nickel and aluminum inventory values. Given these expectations, adjusted EBITDA excluding LIFO is expected to be in the range of $34 million to $38 million, and earnings per diluted share are expected to be in the range of $0.31 per share to $0.42 per share. With that, I will turn the call over to Molly, who will discuss the highlights of our fourth quarter and full year 2019 performance.
Molly Kannan: Thanks, Eddie, and good morning. In the fourth quarter of 2019, Ryerson achieved revenues of $962 million, a decrease of 17.1%, compared to $1.16 billion in the fourth quarter of 2018, with average selling prices down 11.6% and tons shipped down 6.2%. Gross margin expanded to 18.8% in the fourth quarter of 2019, compared to 18.5% in the third quarter of 2019 and 17.2% for the same quarter last year. Included in the fourth quarter of 2019 cost to materials sold was LIFO income of $6.5 million, compared to LIFO income of $29.6 million in the third quarter of 2019 and LIFO expense of $0.9 million in the fourth quarter of 2018. Excluding LIFO, gross margin was 18.1% in the fourth quarter of 2019, compared to 15.8% in the third quarter of 2019, and 17.3% in the fourth quarter of 2018. Reflective of reassessed industry shipments, Ryerson decreased warehousing, delivery, selling, general and administrative expenses by $28.4 million or 16.6% in the fourth quarter of 2019 compared to the year ago period. Included in fourth quarter 2019 expenses is a reduction of a $11 million of accrued vacation expense resulting from changes to our vacation policy that were adopted at the end of the year, which effectively altered the timing of accrual recognition so that vacation is earned throughout the year rather than in advance of work being performed. Warehousing, delivery, selling, general and administrative expenses as a percentage of sales were relatively flat in the fourth quarter of 2019 at 14.9%, compared to 14.8% in the fourth quarter of 2018, as consolidated revenue declined marginally outpaced expense reduction. However, on a same-store basis warehousing, delivery, selling, general and administrative expenses decrease by $24.4 million or 17.6% and decrease as a percentage of sales from 14% to 13.5%. Net income attributable to Ryerson Holding Corporation was $26.4 million or $0.69 per diluted share in the fourth quarter of 2019, compared to $0.6 million or $0.01 per diluted share in the prior year period. Adjusted net income attributable to Ryerson Holding Corporation excluding the gain on bargain purchase related to the CS&W acquisition, gain on sale of assets related to the sale leaseback transaction of nine of our facility, restructuring and other charges, loss on retirement of debt and the associated income taxes was $11.6 million for the fourth quarter of 2019 or $0.30 per diluted share, compared to $6.2 million or $0.16 per diluted share in the prior year period. Ryerson achieved adjusted EBITDA excluding LIFO of $46.9 million in the fourth quarter of 2019, a decrease of $3.6 million compared to the fourth quarter of 2018, but an increase of $17.4 million compared to the third quarter of 2019. Turning to full year 2019 result, Ryerson generated revenues of $4.5 billion, an increase of 2.1%, compared to $4.41 billion in 2018 with tons shipped 5% higher and average selling prices of 2.7% lower. On a same-store basis excluding the contribution of CS&W from the second half of 2018 and full year 2019 result. Ryerson generated revenues of $3.93 billion, a decrease compared to prior year revenues of $4.06 billion, with average selling prices 1.5% lower and tons shipped 1.9% lower. Warehousing delivery, selling, general and administrative expense increased by $22.1 million or 3.6% an increase as a percentage of consolidated sales from 13.9% to 14.1% in 2019 compared to 2018. However, Ryerson’s prudent expense management during the recessed demand environment was more clearly exhibited on a same-store basis as warehousing deliveries, selling, general and administrative expenses decreased by $31.1 million or 5.7% and also decreased as a percentage of sales from 13.5% to 13.2% in the same period. Net income attributable to Ryerson Holding Corporation was $82.4 million or $2.17 per diluted share in 2019, compared to $106 million or $2.81 per diluted share in the prior year. Adjusted net income attributable to Ryerson Holding Corporation excluding the gain on bargain purchase related to the CS&W acquisition, gain on sale of assets related to the sale leaseback transaction, gain on insurance settlements, restructuring and other charges, loss on retirement of debt and the associated income taxes with $67.9 million for 2019 or $1.79 per diluted share, compared to $40.4 million or a $1.07 per diluted share for 2018. Adjusted EBITDA excluding LIFO was $190.1 million in 2019, compared to $308 million in 2018. As the end of the fourth quarter of 2019, Ryerson had 84 days of supply of inventory up from 76 days at the end of the third quarter as CS&W’s inventory rose to 103 days of supply due to carbon restocking at lower replacement cost values. On a same-store basis Ryerson had 81 days of supply due to sharp demand declines in the fourth quarter, as well as forward carbon sheet purchases as near-term replacement cost values bottomed. We maintain ample liquidity throughout the quarter, as of December 31, 2019, borrowings were $378 million on our primary revolving credit facility, with additional availability of $348 million, including cash, restricted cash from the sale of real estate under the sale leaseback transaction and availability from foreign sources, Ryerson’s total liquidity was $439 million as of December 31, 2019. We generate cash from operating activities of $62.6 million for the fourth quarter of 2019, compared to cash generated from operating activities of $119.8 million in the year ago period, primarily driven by normal seasonally lower working capital requirements. Our strong cash flow generation from operating activities drove debt repayment of $172 million in 2019 and acknowledgment of the significant improvement in the company’s operating performance. We are pleased that Moody’s ratings upgrade Ryerson’s corporate rating to B2 and the senior secured ratings to B2. This rating upgraded builds upon the favorable first time B plus rating awarded to Ryerson during the third quarter by Fitch rating who also recognized our improved operating performance concurrent with the strengthened balance sheet. Together with S&P’s existing B rating on Ryerson’s Senior Secured Debt, Ryerson’s Senior Secured Bonds are B-rated across the Board. Finally 2019s achievements were further expanded upon by the completion of a sale leaseback transaction for a portion of our real estate portfolio which monetized the underlying asset value of nine of our properties. The transaction provided a total of $62 million in net proceeds and the recognition of a $21 million gain on the sale of assets. In all, the fourth quarter and full year 2019 period proved to be commendable in terms of improving Ryerson’s credit profile, fortifying the balance sheet and building forward momentum for further deleveraging. Now, I will turn the call back over to Eddie to conclude.
Eddie Lehner: Thanks, Molly. Moving beyond the demand contraction and downward commodity volatility that characterized the 2019 metals service center industry the year still presented opportunities to improve Ryerson’s business model, which we acted upon and realized to good effect. We made real advancements where they count in debt reduction, legacy liability reduction, notable year-over-year adjusted earnings per share growth, increases in Ryerson’s net book value, increases in market share, expense leverage attainment and market share gains. By creating the industry leading customer experience across Ryerson’s network of intelligently connected service centers, we continue on the best path forward in building sustaining shareholder value over the long-term. With that, let’s open the call to your questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from Nick Jarmoszuk from Stifel. Your line is open.
Nick Jarmoszuk: Hi. Good morning. Thanks for taking the questions. On the restrictive cash, I just wanted to confirm is that solely for the benefit of the outstanding notes?
Molly Kannan: Yes. That’s correct. We can use that for either future capital expenditures or for debt reduction on the secured bond.
Nick Jarmoszuk: Okay. And so at the year end the balance was $48 million, could you let us know with the balance is as of today?
Molly Kannan: I think it’s around $40 million as of today.
Nick Jarmoszuk: Okay. Okay. So has that reduction been used in for a CapEx or for debt repurchases?
Eddie Lehner: Sum of both.
Nick Jarmoszuk: Okay. And how do you anticipate using the remainder of that, I know you said it could be CapEx or a debt reduction, but it is nearing 2022 million maturities, so is it going to be more weight to debt reduction?
Eddie Lehner: Yeah. The purposes are for debt reduction and for CapEx and so -- that’s what we are going to use it for, so as we have opportunities to either buyback our debt or apply those proceeds in a refi that’s what we will do.
Nick Jarmoszuk: Okay. And regarding just the overall outlook for the capital structure, can you talk about timeline in terms of when you will start addressing the outstanding ABL and the notes?
Eddie Lehner: Yeah. As soon as market circumstances dictate that we can effect an opportunistic refinancing.
Nick Jarmoszuk: Okay. And then the sale leasebacks, could you talk about what additional leaseback opportunities you think you have available to the company?
Eddie Lehner: Yeah. I mean, we can do -- from here we can do all or nothing. I think the point that we were trying to establish is that we have a very hard data point from the market that’s very recent and relevant that would underscore that -- those assets are undervalued on a fair market value basis. So we did a small representative sample at -- what would have in effect be more than two times Ryerson’s enterprise value multiple. So we thought it was a very attractive transaction to undertake and it was important for us to set a value for those assets in the market as opposed to how they may be recognized on a GAAP basis or on a price basis.
Nick Jarmoszuk: So it was nine facilities that were done, could you help us frame how many additional facilities you have or as a percentage of gross acreage or how could we think about how much of the real estate portfolio is left?
Eddie Lehner: So 62% of our square footage is still owned by Ryerson, 38% is now leased by Ryerson.
Nick Jarmoszuk: Okay. So it was the transaction in the fourth quarter that accounted for nearly 40% of portfolio.
Eddie Lehner: No. No. 10%, 30% was already leased.
Nick Jarmoszuk: Okay. All right. That helps. And then outlook for working capital, how should we think about outlook for working capital seasonal uses and how you think it’s going to look for the 2020 year?
Eddie Lehner: There’s still a lot of mystery around how 2020 turns out. I mean, I am getting to the other side of virus impacts. Having said that, if you want to look at it without considering what the potential virus impacts may or may not be, we expect to generate cash in 2020 from operations.
Nick Jarmoszuk: Okay. Right. That’s all I had. Thank you.
Eddie Lehner: Thank you.
Operator: Your next question comes from Joel Tiss from BMO. Your line is open.
Eddie Lehner: Hey, Joel.
Joel Tiss: Hey, guys. How it is going?
Eddie Lehner: Good. How are you?
Joel Tiss: All right. I wondered why the days of supply is rising, is that because you need to hold a little extra inventory just because of the uncertain environment.
Eddie Lehner: No. Joel, not at all. I mean, we bought opportunistically in carbon particularly at central heading into the or getting through the fourth quarter into Q1 because CRU prices are bottoming at the time. So it was just an opportunistic investment in working capital and we need to squeeze down days back down to 75, we can certainly do that and I would anticipate us bringing down our days of sales and inventory over the first half of the year.
Joel Tiss: Okay. And then when you take out the acquisitions what was the organic volume decline versus the industry in the quarter and for the year?
Eddie Lehner: On a same-store basis we were down, I think, we -- I believe we are down.
Molly Kannan: 1.9%.
Eddie Lehner: 1.9% on a same-store basis.
Joel Tiss: That’s in the fourth quarter, right?
Molly Kannan: That’s year-over-year.
Joel Tiss: Okay. And the industry was down 7%, right?
Molly Kannan A - Molly Kannan: Correct.
Eddie Lehner: Yeah. 7.2%, yeah.
Joel Tiss: Okay. And then can you give us a little frame of the debt reduction, I am sort of back dooring into free cash flow expectation for 2020. I am sure it’s still moving all around but just kind of an idea?
Eddie Lehner: Yeah. I mean, it feel -- right now it feels like, if I look at the free cash flow we generated over the last two years and the free cash flow yields we generate over the last two years, I would expect that we would be able to generate another between $60 million and $80 million of free cash flow to further delever based on our annual operating plan baseline assumptions.
Joel Tiss: Well. Nice. And then, last, can you just give us a little like a little flavor on the ground, you know I just listened to a whole bunch of companies last week and everyone saying there’s no impact from the virus, but I am watching things get canceled left and right, and it has to reverberate through the economy. And I just wondered like you guys have such a catbird seat to give us a little sense of, is it too early to see any impact or it’s starting to flow through, or just any flavor. Thank you and then I am done.
Eddie Lehner: Yeah. Joel, it’s really day-by-day, there’s a website that we have been following that is maintained by Johns Hopkins University that shows the…
Joel Tiss: Yeah. I have been watching that too.
Eddie Lehner: Yeah. Yeah. And so the good news is the line -- the recovery line is converging closer to the diagnosed case line, which I think is positive. I mean we are going to -- there could be hotspots in any part of the country at any point in time and then I think we have to manage through it day-by-day. We were very transparent about what we think the impacts have been in China. They seem to be getting on the other side of it where we should be back to 90% of operating -- regular operating capacity by the end of March. I would expect to be back to full operating capacity by the end of April. So if we use that as kind of a guide then we can at least maybe put a color around it in terms of time where there’s going to be some isolated impacts. There’s probably going to be some drag on sentiment and business activity more so on the service side as we have seen in manufacturing I’d expect that to hold up a little bit better, but it looks to be about a one month to three month arc and I think we just have to look at it day-by-day. We haven’t seen a lot of impacts yet just some anecdotal communications of things that are happening here and there, but nothing that we can really put a firm estimate around that right now.
Joel Tiss: Okay. That’s awesome. Thank you so much.
Kevin Richardson: Hey, Joel. Kevin Richardson, the only thing that I would add to that is we have gotten quite a few calls from some of our big OEMs in the last week or 10 days asking us to verify that our supply chains are not a risk. And what they seem to be most concerned about is just components that may be coming in from overseas, but we are not really seeing anything to Eddie’s comments. And the only thing I would add is, without question there’s been a lot of canceled conferences and meetings so from a travel perspective. I mean, that’s definitely taking hold in the economy but nothing directly in terms of manufacturing.
Joel Tiss: Okay. Great. Thank you.
Operator: [Operator Instructions] Your next question comes from Matthew Fields from Bank of America. Your line is open.
Matthew Fields: Hey, guys. Hey, Molly. Same kind of question but I want to ask about the situation on the ground in China. If you believe the numbers it seems like they are getting a little bit of a handle on it and we saw factory shutdown for a little bit after Lunar New Year, but with them reopening we are seeing inventories pile up at ports, at mills and trader inventories and warehouses. What’s the inventory situation like in China for finished goods for other kind of parts of the steel ecosystem?
Eddie Lehner: Matt, this is Eddie. We have been in contact with our China team every day. We have firsthand accounts of what’s going on inside of the country and so far things are slowly gearing back towards normalcy it’s going to take a little bit of time for those knots to get untied. But based on what we can see, it looks like by the end of April a lot of the lost operational capacity and throughput should be restored unless virus conditions worsen. But right now it looks like by the end of April most of those knots ought to be untied. I mean in terms of flow.
Matthew Fields: Do you think that…
Eddie Lehner: I mean in terms of flow. But the last time something -- I am not going to say something similar to this happened, but the last time supply and demand conditions were -- there were a lot of steel inventories piling up, it was actually a good opportunity for us to buy down on our replacement cost and then see better costs of goods sold numbers flow through, which help margins for a period of time until those inventories were worked off. But we can go by that guide what that looked like about five years ago, but we don’t have any other information to share with you other than that.
Matthew Fields: Okay. And you don’t see any indication from Chinese mills or there’s going to be any kind of cuts to production to alleviate those inventory imbalances.
Eddie Lehner: Not yet, no.
Matthew Fields: Okay. And then on the sale leaseback you said you sold at a sort of like a two times of Ryerson’s EV, so that’s like -- is that like a low double-digit implied EV-to-EBITDA which means…
Eddie Lehner: It was 14…
Matthew Fields: …you are prompt to paying. 14, okay.
Eddie Lehner: It was 14. It was 14.3 and the Cap rate is 6.85. So I think that’s pretty instructive when you look at how the rest of our credit is priced particularly in the high yield side. But we feel there were a lot of benefits in doing that transaction.
Matthew Fields: That is what I wanted to know. Thanks a lot. Eddie and hopefully maybe we will see something around that May 15th call price down date, but if not good luck and talk to you next quarter.
Eddie Lehner: Thanks, Matt. I told you I always keep my refi suitcase packed.
Operator: Your next question comes from Michael Leshock from KeyBanc Capital Markets. Your line is up.
Michael Leshock: Hey. Good morning.
Eddie Lehner: Good morning.
Molly Kannan: Good morning,
Michael Leshock: So, first, I -- just on the sale leaseback, what’s the potential increase to your SG&A from that transaction?
Eddie Lehner: $4.3 million in additional operating rents per year.
Michael Leshock: Okay. And then just touching on the cadence of the business activity that you have seen through the quarter thus far, we have heard that January flat rolled demand was strong and some hedge buying seen in the MSCI data and things may have recently cooled kind of what are you seeing so far throughout the quarter?
Eddie Lehner: I think we want to wait for the end of the quarter to see how that MSCI data normalizes. But the first half of January was sluggish which we thought was continuation of really the second half of the year and particularly December. Things picked up in February incrementally and transactional quoting and transactional business has been relatively stronger than program business, which relate -- would relate more to established OEM contracts. So we have seen a pickup in activity, in quoting activity and demand. I will let -- I will ask Mike and Kevin to comment on that further?
Mike Burbach: Hey, Mike. This is Mike Burbach. Yeah. Eddie said it about right. As we started the year, if you looked at the activity levels of some of our larger OEMs really got out of box a little slow and some of which we anticipated with Class 8 declines, so that have been long-term forecasted. But I guess the bright spot on this is the activities through our transactional side of business has been improving as we move to the quarter, both from a quoting perspective and volume of wins. So -- and a lot of that really is built around our ability to respond quickly, have the right inventory, put the right package together that wins those orders. So it’s a good piece of the business to be improving and we hope to continue that trend and we certainly love our large OEMs and we expect that business will normalize as well. But there is also a lot of uncertainty out there too. So, we will do what we can do and control we can control and let’s see where it goes.
Michael Leshock: Got it. And then just looking for some more color on an end-market perspective, where you are seeing the strengths and weaknesses specifically and then if you could break out which markets are seeing, which are most sensitive to Coronavirus?
Kevin Richardson: Hey, Michael. It’s Kevin Richardson. I will take that and I don’t think I can handicap the sensitivity of the Coronaviruses. But in the disclaimer is, it’s obviously a fluid situation and it’s early. But if you look at our outlook in terms of 2020 for the full year I’d put them in two categories as en-markets that are under pressure and oil and gas in the energy markets for sure. 2019 was weaker than we had expected and we see that still declining. Ground transportation is going to be declining but it’s coming up at a relatively very high build rate. In fact, the best two years in the last 10 years were the last two years. Construction equipment and industrial machinery and equipment we think are going to be under pressure. And then the end--markets that we -- that we are more optimistic about and we see growth are ones that are more levered to the consumer and those would be consumer durable, food and ag, HVAC, and metal fab and machine shops. But in terms of trying to handicap it to the Coronavirus that would be pretty tough.
Michael Leshock: Got it. And then just lastly for me on CENTRAL’s volumes, they were reduced pretty big in the fourth quarter sequentially, just wondering how I should think about outlook for Central volumes in 2020?
Eddie Lehner: I am going to kick that over to Jim Claussen, who is with us today.
Jim Claussen: Yeah. I -- we definitely had a soft fourth quarter seasonality wise and then as we work through the stages of the integration. Looking into 2020, activity has picked up to start the year, very similarly to Ryerson. So we are starting to trend closer to Ryerson metrics in that regard. There is still work to do. But as we continue to play out the synergy game on working capital and expenses, we definitely have an eye on leveraging the combined network and continuing to grow the brand and using that new working capital and expense profile to drive margins.
Eddie Lehner: I mean, we really think Central is underappreciated. I think as you come out of a year, where Central’s carbon portfolio was 85% of its total shipments. We had to take that margin compression on the way down as structural expenses were coming out. I think now we see as margins are getting back towards our mean expectation for gross margins as costs continue to come down. So that profile is starting to take shape in terms of how we envision it developing over the next several years. So we really appreciate the work that’s been done by the Central team and we expect that to continue.
Michael Leshock: Appreciate the color. Thanks.
Operator: We have no further questions. I will turn the call back over to the presenters for closing remarks.
Eddie Lehner: Thanks for tuning in with us today and stay safe and be well, and we will be back with you in April. Take care.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.